Operator: Good morning, ladies and gentlemen, and welcome to Ritchie Brothers. Auctioneers’. First Quarter Results Conference Call. (Operator Instructions) I would like to remind everyone that this call is being recorded on Monday, May 5, 2014. And I would now like to turn the call over to, Peter Blake, CEO. Please go ahead sir.
Peter J. Blake: Thanks Joe Ann and good morning, everyone, and thanks for joining us on our fiscal first quarter and 2014 earnings conference call. Joining me today on the call are Robert McLeod, Chief Financial Officer, Bob Armstrong, Chief Strategic Development Officer and Steven Simpson our Chief Sales Officer. Before we start, I would like to make the Safe Harbor statement. The following discussion will include forward-looking statements as defined by SEC and Canadian rules and regulations. Comments that are not statements of fact, including projections of future earnings, revenue, gross auction proceeds and other items such as our potential addressable market, are considered forward-looking and involve risks and uncertainties. The risks and uncertainties that could cause our actual financial and operating results to differ significantly from our forward-looking statements are detailed in our SEC and Canadian Securities filings available on the SEC and SEDAR websites, as well as rbauction.com. Our definition of gross auction proceeds may differ from those used by other participants in our industry. It is not a measure of financial performance, liquidity or revenue, and is not presented in our statement of operations. Our first quarter results were made available earlier this morning. We encourage you to review our earnings release, MD&A and financial statements which are available on rbauction.com, and will be available shortly on EDGAR and SEDAR later today. Now onto our quarterly results discussion. As we announced earlier in April, gross auction proceeds fir the first quarter totaled $855 million a 1.2% increase from the same quarter last year. We are generally pleased with the GAP performance of this quarter, considering some challenging weather conditions in Eastern U.S. and Canada that impacted some of our customers. As you may recall we achieved an elevated revenue rate in Q1 last year, which makes for a tough year-over-year comp. revenue for the first quarter of 2014 declined slightly from the same quarter last year to $98.6 million. And earnings for the first quarter at $14.3 million or $0.13 per diluted share was equal to diluted EPS generated in the same quarter last year. Our performance during Q1 was positively impacted by a favorable tax rate and foreign exchange gain that Rob will speak to more in a minute. First quarters typically are our smallest of the year and our performance this quarter within line our expectations. Overall we’re quite pleased with how Q2 is shaping up so far. As you heard last week our Edmonton auction broke many records at a CAD143 million, it was a largest ever sale in Canada and 37.5% larger than the same auction held in April last year. I am pleased to tell you that our April gross auction proceeds totaled $366 million, which is 17% increase compared to April of last year. On a 12-month rolling basis ending April GAP was $3.9 billion a slight increase compared to the same period ending the last year. Timing of some of the auctions has small role in April year-over-year GAP growth. We are continuing to see improvement in the age and mix of used equipment available for sale. Since the start of 2014 a larger proportion of GAP has been generated through the sale to two to three year old equipment than in the previous two years. More specifically, in the first four months of 2014 approximately 14% of GAP and for two or three year old machinery compared to 10% in 2013 and 8% in 2012. So supply environment of what we are seeing coming to auctions is unfolding as we expected. Our auction metrics for the first quarter confirm that were reaching more equipment consignors and buyers and growing our market share in spite of the equipment age headwinds that we have been facing. The number of locks, consignments, registered bidders, and buyers all grew compared to the same quarter last year even with fewer auctions held. So we're very confident that we are executing on the right strategies for growth and then real power of our platform and operating leverage will be evident as equipment supply dynamics shift more favorably to us. With that quick overview, I'll pass the call over to Steve Simpson to provide you an update on sales force. As you may recall we achieved an elevated revenue rate in Q1 last year, which makes for a tough year-over-year comp. revenue for the first quarter of 2014 declined slightly from the same quarter last year to $98.6 million. And earnings for the first quarter at $14.3 million or $0.13 per diluted share was equal to diluted EPS generated in the same quarter last year. Our performance during Q1 was positively impacted by a favorable tax rate and foreign exchange gain that Rob will speak to more in a minute. First quarters typically are our smallest of the year and our performance this quarter within line our expectations. Overall we’re quite pleased with how Q2 is shaping up so far. As you heard last week our Edmonton auction broke many records at a CAD143 million, it was a largest ever sale in Canada and 37.5% larger than the same auction held in April last year. I am pleased to tell you that our April gross auction proceeds totaled $366 million, which is 17% increase compared to April of last year. On a 12-month rolling basis ending April GAP was $3.9 billion a slight increase compared to the same period ending the last year. Timing of some of the auctions has small role in April year-over-year GAP growth. We are continuing to see improvement in the age and mix of used equipment available for sale. Since the start of 2014 a larger proportion of GAP has been generated through the sale to two to three year old equipment than in the previous two years. More specifically, in the first four months of 2014 approximately 14% of GAP and for two or three year old machinery compared to 10% in 2013 and 8% in 2012. So supply environment of what we are seeing coming to auctions is unfolding as we expected. Our auction metrics for the first quarter confirm that were reaching more equipment consignors and buyers and growing our market share in spite of the equipment age headwinds that we have been facing. The number of locks, consignments, registered bidders, and buyers all grew compared to the same quarter last year even with fewer auctions held. So we're very confident that we are executing on the right strategies for growth and then real power of our platform and operating leverage will be evident as equipment supply dynamics shift more favorably to us. With that quick overview, I'll pass the call over to Steve Simpson to provide you an update on sales force.
Steven C. Simpson: Thanks, Pete. In Q1, we saw strong performance from our sales team in Canada East, Agriculture and U.S. West regions as well as from our strategic accounts team. As an example we signed two contracts with the state department of transportation agencies during the first quarter, which were secured as a result of offering a full solution set meaning a combined contract offering with both our auction and online marketplace sales channels we expect this combined solution approach will continue to generate results first for us going forward. We see opportunity to grow – sorry we see continuing to grow the market share in the U.S. central and U.S. East sales regions and have recently made some leadership changes to help guide and train our sales teams in these areas to enhance sales performance. As we discussed at the Analyst Day in March, we’re aggressively growing the size of our sales team. As of March 31, we had 287 Territory Managers, an increase of 15 TMs, or 5.5% in a three-month period. The majority of these positions were added in key regions of the U.S. and through our strategic accounts team. We’ve also added more sales leadership positions to help manage and mentor our growing sales team. Three new management positions were created, increasing the total number of revenue producers to 358. An increase of 18 positions or 5% compared to the total number of revenue producers we had at the start of 2014. As you can appreciate, the more we grow our sales force, the more of the average tenure of our TMs is diluted by new recruits. At the end of March, approximately 60% of our TMs had over two years experience with Ritchie Brothers. This is unchanged from the 60% we’ve reported in August of last year. But, I’ve to emphasize that this figure is being diluted due to our conscious efforts and strategy to add to our sales team. There are more tenured TMs in our ranks, but there are also more TMs that we’ve recently recruited. We’ve recognized the importance of continuing to recruit and train quality sales professionals. And we’re still strongly focused on providing the best coaching and support tools we can to help our new TMs become more productive as quickly as possible. We began rolling out one of these sales support tools in March and April across many of our regions. The new salesforce.com platform is currently being deployed and integrated across our sales teams and is replacing legacy systems to provide greater functionality and efficiencies of our sales team and customers. Specifically, it allows our TMs to consolidate their sales leads, pipeline and data in one system and provides better line of sight on our sales pipeline. It also allows our TMs to more quickly propose contracts, and obtain electronic signatures from our customers, increasing the speed at which we can confirm information from our customers and improving the overall consigner experience. It’s still very early days to fully appreciate how much these tools will improve productivity. But we're already hearing great feedback and encouraging stories from our sales team that indicate both they and our customers are pleased with the technology improvements. Turning to the market environment now. Pricing remains strong for equipment across many categories, we are seeing particularly strong demand for mid-sized equipment and also late-model low-usage and well spec construction, ag, and trucking assets to our auctions. Competition remains as strong as it has been in recent quarters, but we remain disciplined in our approach regarding contract negotiation. We will only pursue contracts if we believe the outcome in terms of the deal will be beneficial to both our customers business and ours. As we’ve stated before, we always strive to grow GAP, but more specifically, we’re pursuing profitable GAP. As Pete noted, we’re quite please with how Q2 has started off and we’re encouraged with the current pipeline of activity, we see for the remainder of the quarter. Now with that, I’ll pass the call over to Rob Armstrong for his update on EquipmentOne.
Robert S. Armstrong : Thanks, Steve. EquipmentOne continued to perform well in Q1, delivering strong yields and better than projected its traffic. Gross transaction value or GTV is turned to be used to describe the combined value of sale price and of our premium that we generate from EquipmentOne; it's the equivalent to GAP. Through the first quarter 2014 GTV was $18.7 million down a bit from the comparable quarter last year. It was a difficult year-over-year comparison and E-one was bolstered by the one particularly large package of energy assets in March of last year. Excluding this one package, GTV was roughly in line with Q1 2013. As with our auction business, the first quarter of the year will typically be the smallest for E-One. Our focus for EquipmentOne is to drive more traffic and volume to the site through marketing and sales efforts. Website traffic has continued to increase and was up 47% compared to first quarter of last year, with over $225,000 unique visitors. Importantly, yield or the percent of listings that transact remained solid at 85% during the quarter, which is an extremely strong rate for online marketplaces. Overall, we’re very pleased with the operating metrics for EquipmentOne, it really incremental for adding more volume through the system at this point. As Steve mentioned earlier, we are having success by combining for EquipmentOne with our core auction channel to provide a complete sales solution to large corporate clients. Individually our two equipment exchange solutions meet different needs for the quarter equipment sellers; combined very are complete sales solution that can be tailored to meet the diverse needs of large fleet managers and multi national customers. We do expect EquipmentOne to make the positive, but not material contribution to corporate performance in 2014. And with that overview I’ll now pass the call to Rob McLeod to go over the quarter’s financial performance.
Robert McLeod: Thanks Bob. And good morning, everyone. As Pete outlined, GAP for the first quarter was $855 million an increase of 1.2% from the same quarter last year and our revenue rate was back into 11.5%. Underwritten or at risk contracts comprise approximately 24% of total GAP during quarter, up in volume compared to 20% in quarter one last year. The performance of underwritten business this decreased compared to the exceptionally strong performance in quarter one last year. This is a main contributor in our lower revenue rate during the first quarter of 2014. At 11.5% is at the mid-point of our expected range. As a result revenue for the first quarter was $98.6 million a decrease of 3% compared to the same quarter last year. Total operating expenses were also inline with the same quarter last year, there was $1 million increase in direct expenses related to auction operations, and this was due mostly to a longer than normal DE rate in comparable quarter last year. Our SG&A expenses were down over last year, we continued to grow our sales team and as a result our sales and marketing cost increased 3% over 2013 quarter one. In contrast our operations and admin cost decreased 3% over quarter one 2013. this reflects our strategy of drawn before we spend while investing in our sales team. Earnings before interest tax wit depreciation and amortization, for the first quarter was $28.3 million, compared to $31.9 million quarter one last year. a decrease of $3.6 million due primarily to our lower revenue rates. Foreign exchange rates particularly the Canadian, U.S. rate moved significant in the first quarter, these movements had an impact on individual income statement line items but a minimal impact on our operating income as they offset one another as usual. Although in quarter one, we did have a $1.3 million foreign exchange gain related to the translation of the monetary items on our balance sheet. We also benefited from a 23.5% tax rate this quarter, down from 31.4% in the same quarter last year. this was due to a change in certain tax estimates and an increase in earnings in jurisdictions subject to lower rate of tax. These change had no side effect on our rate as quarter one is a relatively small quarter. We believe that our annual tax rate will continue to be in the 30% range. Overall, net earnings was attributable to Rich Brothers for their first quarter of $14.3 million an increase of 2% compared to net earnings in the same quarter last year. diluted earnings per share were $0.13, equal to you can guess from quarter one 2013. We continue to expect CapEx for 2014 to be in the range of $45 million to $50 million mostly for the development of IT systems and also for investment in some of our existing auctions base. During the first quarter we invested $10.5 million into property plans and equipment and proprietary software systems. Related to our ongoing evaluation of capital expenditures, we’ve made the decision to consolidated Auction operations in Spain centralizing our operations at our Ocana site near Madrid. As our result, we will not be renewing our lease at the site Moncofa in Eastern Spain. Doing so will allow us to gain more efficiencies in this region by leveraging the investment we made at our largest site in Spain, where most customers prefer to operate from. Now that we have the first quarter under our belt, I'll take this opportunity to provide a guidance update. We now expect the Company will generate gross auction proceeds between $3.9 billion and $4.1 billion, changed from$3.9 billion to $4.2 billion previously. This translates to mid single-digit pretax adjusted earnings growth for the year. As Steve indicated, we have a strong pipeline of activity and continue to see an improvement in the equipment supply environment. But we feel it's prudent to lower the top end of GAP guidance, given quarter one's GAP performance. And with that financial overview, I'll now pass the call back over to Pete for his final comments.
Peter J. Blake: Okay, thanks, Rob. I'm sure there's a lot of interest out there regarding the impending appointment of a new CEO. The Board is progressing well and the Board selection commitment is in the advanced stage of identifying a great new leader for Ritchie Brothers. As you can appreciate, these kinds of appointments can often take time and involve a lot of different considerations, including transition from a candidate's current role and relocation needs. So we're in the home stretch of this process at this point. Before I open up the call for questions I'd like to take a moment to share a few personal comments. This will be my last earnings conference call as CEO of Ritchie Brothers. It’s been a tremendous 23 years for me here and real honor to have been a part of this great Company to play a part in its evolution and growth. I also want to thank all of you, the investors and analysts who cover us, for your interest in RBA, and you consistently great, but occasionally infuriating questions. Quite frankly it's one of the biggest benefits we enjoy as a public company, to have bright minds look at our business in relation to others that they review, and be curious and ask those why questions. The reviews on our business have always provided us a great channel check for our strategies; I believe we're very lucky to have such an informed coverage of our business and industry. It’s been a real privilege for me discussing our business with you over the years. When the Board announces the next CEO, I am committed to provide whatever is needed to ensure a seamless and smooth transition of responsibilities. I have no doubt the new leader will be welcomed into the Ritchie Brothers family with the same enthusiasm and respect that I've been lucky enough to have enjoyed over the years from everyone I work with here. So with that I'd like to open the line for questions from analysts and the institutional investors. As with previous earnings calls we would ask you please limit yourself to two questions, as we have lots of participation on the call today. Joanna, can you please open the lines?
Operator: Thank you. (Operator Instructions) The first question comes from Yuri Lynk from Canaccord Genuity. Please go ahead.
Yuri Lynk – Canaccord Genuity Corp.: Hey, good morning guys.
Peter J. Blake: Good morning.
Steven C. Simpson: Good morning.
Yuri Lynk – Canaccord Genuity Corp.: And congrats to you, to Pete and I hope to have a good time after Ritchie Brothers. On to the infuriating question. Just guys how would you characterize productivity amongst your TMs, I mean is it trending in line with your expectations and I mean when can we start to see GAP per TM start to – start to turn the corner here and possibly pick up?
Peter J. Blake: Steve do you want to take that or I'd be happy to answer.
Steven C. Simpson: Productivity right now is right in line with where we expected to be. So, we’re feeling good about that. And as far as where it's going some, as this market continues to get strength and confidence as it is. I think the productivity in all the tools that we’re putting in place for these guys to be more productive it just going to continue to get better and better for sure. So, we’re on it and the guys are embracing the stuff that we're giving them and it’s moving forward so to me it's all good.
Yuri Lynk – Canaccord Genuity Corp.: Okay, and where is this TM headcount going? What should we expect a year from now? I mean is there a risk that you add too many rookies for lack of a better word that could possibly become a distraction and hurt productivity that way?
Peter J. Blake: Sure, I mean it’s a great question. So, I mean we’re managing the amounts of guys that we're bringing on and I think this year we’re looking at somewhere just under 10% growth with the TMs. Right now, we’re just North of five and for sure, I mean we want to make sure that we’re bringing the them on, on boarding them properly and giving them all the support and tools that we need them to be successful. And but as far as where does it go, there's so much in the market worldwide that is out there for us to get and we’re just scratching the surfaces in a lot of areas for penetration. So, I don’t really see any cap if you will on the quantity of TMs, but the quality and bringing them on at the right pace if you will to ensure they’re productive is for sure the key.
Yuri Lynk – Canaccord Genuity Corp.: Okay, thanks guys. I’ll turn it over.
Peter J. Blake: Thanks, Yuri.
Steven C. Simpson: Thanks, Yuri.
Operator: Thank you. Your next question comes from Neil Frohnapple from Longbow Research. Please go ahead.
Neil A. Frohnapple – Longbow Research LLC: Hi, good morning and Pete congrats again.
Peter J. Blake: Thank you, Neil.
Neil A. Frohnapple – Longbow Research LLC: I’m a little surprise, you guys are taking down the top end of GAP guidance range this early in the year it sounds like Q2 is also a good start and obviously Q1 was negatively impacted by weather. So, what’s changed in the market, because I thought a lot of the equipment that was not sold in Q1 due to weather may have found its way into other auctions. So could you just provide a little bit more granularity there?
Peter J. Blake: You bet, Neil, good morning. You are right we just want to get – someone said you're right when you say this early in the year, and the challenge in our businesses that’s always, I mean there is our ability to forecast, our ability to see where we’re going to end up in three months, six months, 12 months, because the very short selling cycle that we have and the time between negotiating a deal and selling the equipments that’s particularly short. So we stated on the call, based on our quarter one GAP performance and years of history on how a calendar year of business will shape up and how does it show up on a first half versus second half and we’re just trying to be prudent with our expectations. We’re not taking anything away from the fact that we saw good growth in April and we are seeing a healthy pipeline for quarter two, but we’re for sure just being prudent, because we’ve demonstrated in the past that forecast in this business is really tricky.
Neil Frohnapple – Longbow Research: Okay that’s helpful. And then may be question for Steve. Is the confidence in the U.S. market among your buyer base, still strong like you articulated two months ago at the Analyst Day or has there been a little bit of a pullback?
Steven C. Simpson: No it’s solid and improving for sure. Pete commented on a big sale we just had up in Edmonton and its been, we had a few years there where we saw very little participation with the U.S. guys bidding up North in Canada and the activity that they are showing right now we haven’t seen for several years. So it’s solid and improving and we expect it to continue.
Neil Frohnapple – Longbow Research: Very good, thank you.
Operator: Thank you. Your next question comes from Bert Powell from BMO Capital Markets. Please go ahead.
Bert Powell – BMO Capital Markets: Thanks. Steve, can you just give us a sense on the support tools for sales that you’re rolling out? Like how many sales guys have that and how is this – I’m just trying to figure out is this disruptive as guys figure out how to switch modes and lowed up and kind of get using the tools versus going out and actually doing what they’re supposed to be doing? I understand long-term benefits, but I'm just wondering can you just give us a sense of how this is rolling out to get a sense, if there's an impact on that side?
Steven C. Simpson: Sure. so the platform as I said earlier is salesforce.com we’ve rolled that out now to I don’t have any numbers in front of me but I would suggest to you we're about half of the salesforce that's been rolled out already maybe a little North of that. We've got sessions in place today, so we will have it rolled out in its entirety the end of June, perhaps if we get a delay here there might be the first or second week of July, but we'll be right in that area and your comments as it relates to the changeover and the disruptiveness. It's for sure that that's there, any time you put anything new in front of a salesforce there's a bump in the road but we've got – a lot of our folks are out there every day in field, of course we have a lot of sales guys that are grabbing a hold of this thing and they are already fully engaged (indiscernible) because we have a big chunk of our salesforce that are really are really techy. And then some of the older more mature folks are a bit more challenged but I’m happy to say we have a lot of our training folks in the field and anybody that needs training is getting it and we recognize that some of our guys are going to struggle with us in the beginning and we knew that going in, but we’re on it. as I said in the engagement from even those folks has been really, really good. I mean this is you have to stay current with the market and this salesforce.com is one of the premier platforms in the world today, and the guys know that, they are excited to have it, so there is bumps in the road, but I believe we are on it and its going very well so far.
Bert Powell – BMO Capital Markets: Okay Steve – sorry.
Steven C. Simpson:
Bert Powell – BMO Capital Markets: Okay, thanks for that. and Steve what were the change you made to – for the U.S. central and East. You said you made some changes?
Steven C. Simpson: Just some changes in some Management in those locations.
Bert Powell – BMO Capital Markets: Is anything material there?
Steven C. Simpson: No. It's just normal course of business. We had some things we wanted to move around and some guys that we wanted to put in some different areas and just to freshen it up a bit so no, it was part of the plan.
Bert Powell – BMO Capital Markets: It’s okay. And lastly, Pete, I don't think I could do a better job do than what Ben articulated at your AGM, so I'd just echo those sentiments as well. Good luck.
Peter J. Blake: Appreciate the comment thanks.
Operator: Thank you. Your next question comes from Scott Schneeberger from Oppenheimer. Please go ahead.
Scott A. Schneeberger – Oppenheimer & Co., Inc.: Thanks, good morning. Best wishes, Pete. I'm curious as to when you guys say home stretch and Pete we won’t be hearing from you on these calls again, that feels like something is pretty certain or definite. Is there any more elaboration that you guys care is it down to one candidate and you're just waiting to wrap it up, any additional color?
Peter J. Blake: I'm careful with my words here, Scott but I will share with you that we're down to a very small number, really small number. A very, very highly qualified people, I read the bios of these option there all exceptional people. So I am quite stated about what’s coming here and I think it’s really just a matter for the Board and then selection committee to finalize their to and fro, and so I can't give you a date but you will not be hearing from you on the next call.
Scott A. Schneeberger – Oppenheimer & Co., Inc.: Okay, well thanks for entertaining that and again best wishes with everything. I guess guys, the auction revenue rate in the quarter kind of rate that center of what you're anticipating for the full year and just curious on thoughts with at risk a little bit above where it was in first quarter last year, some puts and takes on that. Could you speak on how you're addressing at risk for the balance of the year, please?
Peter J. Blake: Well, Scott I'll give you a little flavor first and maybe Steve can timing as well and get some our range for our revenue rate but 11% to 12% is our going forward rate it is not necessarily just for 2014 that’s what we expect from the business going forward as well. And the at risk volume that you mentioned tick up a bit here in quarter one we reflect the what’s happening in the marketplace what’s being what opportunity is being presented to us and we will pursue those opportunities and also maybe insure that we are being aggressive those opportunities in order to get that equipment into our yard and use it is as a marketing tool and also to potentially to be build in those relationships with customers that are new to our sales channels. And of course, with that comes with as we are being aggressive comes with some opportunities if you will to have a little over commission rate on it in order to achieve our other objectives of marketing, competition, and relationship building. Steve did you have any other color on that?
Steven C. Simpson: Yes, no its I mean the competitive part of the picture is – as the assets become more available of quality that we've talked about, the later hour that more sort of well spec stuff is coming on to the market that's been challenging for us to get, there's a line up of folks that are chasing it and it's out there now and we talked there's more confidence in the market, as more people out there buying, so you have a lot more people that have been a bit challenged recently are getting back into the market as competitors. So those assets that are premium are in more demand and you have to push it to get it and that's what we're doing and we're seeing great results, but I mean, as we pointed out our quarter – our Q1 last year was a bit unique. We had a couple really big wins that pushed our rate up there for a bit. So we're still seeing really positive rates, just hope and we can for those big wins that we get occasionally as well, but at 11.5, it's still a very reasonable rate to be achieving, but it's competitive out there so you've got it.
Scott A. Schneeberger – Oppenheimer & Co., Inc.: Okay, great got it. Thanks guys.
Steven C. Simpson: Thanks Scott.
Operator: Thank you. Your next question is from Hamzah Mazari from Credit Suisse. Please go ahead.
Flavio S. Campos – Credit Suisse Securities LLC: Hi, this is Flavio, I’m standing in for Hamzah today. How are you?
Peter J. Blake: Good.
Steven C. Simpson: Good.
Flavio S. Campos – Credit Suisse Securities LLC: Just most of my questions have been answered but just can you give us some color if you're still seeing higher competition from brokers and dealers in the used equipment market or if that has moderated somewhat?
Steven C. Simpson: Steve Simpson here again. No, that has not moderated for sure, those guys are again, they are picking up a little steam here because of the markets getting some steam. So as the market gets better just more people out there looking for opportunities of equipment or buy these guys are out there looking for a lot of the same stuff we are and they're attending more of our auctions and trying to buy the sales as well, so no, I would say if anything it's a little bit more competitive.
Flavio S. Campos – Credit Suisse Securities LLC: Perfect, perfect, that’s helpful.
Steven C. Simpson: Really that's the sign of the times. When things are happening and there's good times there's more people playing.
Flavio S. Campos – Credit Suisse Securities LLC: Sounds good. Just turning to capital allocation for a second. Do you have any updates on that on returning cash to share owners. CapEx seems to be coming down. Over the past couple of years or relative to history and if you can give some color of that and on the acquisition pipeline as well?
Steven C. Simpson: Yes, as you state by design our CapEx is falling compared to the peak of about $150 million two years ago and that was certainly our strategy and as we get into position to have excess cash, then for sure the conversation has to turn to our needs internally if there's a acquisition target or an opportunity to extend our business or our lines of business. Barring that, then certainly we look at opportunities to return it to shareholders, obviously in the continuing with our dividend and also opportunities for share buybacks or other tools that Investment Bankers might suggest.
Flavio S. Campos – Credit Suisse Securities LLC: That sounds good. I think those are my two then, so I’ll hop back into queue. Thank you for your time guys.
Steven C. Simpson: Excellent.
Operator: Thank your. Your next question comes from Ben Cherniavsky from Raymond James. Please go ahead.
Ben Cherniavsky – Raymond James: Good morning, guys.
Steven C. Simpson: Good morning Ben.
Ben Cherniavsky – Raymond James: So Pete I’m going to play a good, bad cop following my comments at your AGM.
Peter J. Blake: [indiscernible].
Ben Cherniavsky – Raymond James: Just actually the follow-up the previous question about capital structure I mean I’m curious that Rob you say as we get in a position to have excess cash. I look at your balance sheet; we’ve talked about this before. I think you guys have a lazy balance sheet. You could do more. There's really no need to wait to build excess cash, you basically you have no debt in a business like this and you're on some idle assets, Edmonton for example, and I'm curious that you consolidated Spain, and that’s I think a step in the right direction, but what's it going to take to move more assertively on your capital structure and your balance sheet – I'm not really sure what you guys are waiting for at this stage.
Peter J. Blake: Yes, Ben, you're right. We had the conversation previously I think in March as well, and for sure, we're having those internal conversations about the return on capital and our opportunities with our balance sheet and as you said our availability of taking on debt as well as obviously generating excess cash flow, and it's a continuing conversation and we want to make sure that we have the ability to grab opportunities as they comment keep our powder dry, as well as maintaining our conservative staffs in terms of long-term debt positions as well.
Ben Cherniavsky – Raymond James: Okay, and I guess my second quarter would be somewhat related, because the challenges that you guys have faced and reaccelerating your growth have all been positioned within the context of the salesforce and there is a lot of emphasis around hiring, training people, retooling them with the right technologies and those sorts of things to raise productivity, but very frankly its not the first time that we’ve heard this. I mean I go back your investor day, I think it was 2009, four, five years ago and you guys were talking about a lot of the new initiatives that you were rolling out at the time, the same field asset information systems, salesforce automation and a number of other tools that were all designed to raise your productivity and we are still sort of waiting to see the payback on those initiatives. So my question is why is it different this time? Why should we believe that the changes you are making, the investments you are making are going to finally get catalyzed a change in the salesforce?
Peter J. Blake: Yes it’s a great question, Pete here and I think it’s a very fair question, you know you go back in time to 2009 and these are comments that I would share with folks at the AGMs well and we highlighted a few of the larger macro economic events that have happened, particularly in the United States where half of our revenue is. And we underestimated the impact of this great recession and the lack of production in the OEM side and the impact that had on the transaction, post new equipment transaction or the aftermarket in our world that we make money on transactions and when there aren’t any for whatever reason we can get into the – sell-through our channels but if they are not interested selling anything or buying anything that limits our ability to make money. So the environment is turning nicely now, I think there are – the focus for us has always been sort of the basics of hiring good people and giving them the tools they need to get out and make it happen and on the technology side the productivity that we’ve had so far has been okay, but I think there is significant room for improvement. So the tools that we move now and there will be nest in to provide our people. We are not building a new rocket here. This is pretty plain Jane stuff for most sales organizations and I think that we introduce [indiscernible] a platform but we can and should expect better productivity. That was a miss step on our part back in 2009 and 2010 when we started contracting on our interest in investing and more focus as we go forward lets going our line first and then start and I think that part of the need for us to grow our bottom line to invest in our sales productivity other way. A very, very good job in all the operations in a core business and we are investing it other businesses like EquipmentOne to allow us to have more of a solution set. So that's had a dampening effect on ROIC but at the same time you have this long-term view of the business and you guys are consecutive here you have the long-term view. We had made a couple of really long-term invested with China and EquipmentOne those are long-term interesting investment that will pay dividends long in the future but I also recognize there's an element of frustration from an investor level to say well. Instead of doing those long-term things, give us the money back or do something that has a more immediate impact on earnings, so that’s clearly in the square site of the Board and Management team is if we're going to invest anything is going to have so more immediate to create impact and just not – that have some figure out a way and figure it out and make it very clear to investors going forward about what we can do with the excess cash but it's a really good question and very valid on to and I would not count that as one of the questions.
Ben Cherniavsky – Raymond James: Okay, well thank you and I will miss you very, very candid answers going forward.
Operator: Your next question comes from Nate Brochmann from William Blair & Company. Please go ahead.
Nate J. Brochmann – William Blair & Co.: Good morning everyone.
Peter J. Blake: Good morning, Nate.
Nate J. Brochmann – William Blair & Co.: And Pete definitely best wishes for you in the future, definitely appreciate all your candidates well and echo all the other sentiments?
Peter J. Blake: Thanks, Nate. Appreciate that.
Nate J. Brochmann – William Blair & Co.: So couple of things, Steve maybe this is for you but to get a little bit more granular on the operating environment, certainly as you – it seems like trends are definitely move in the right direction, both on what you are seeing as well as the operating environment and you know maybe on the top line a little difficult to predict and a little conservative there. But could you get a little more granular in terms of what you are seeing in terms of whether the activity out there is more equipment refreshes versus you know just more overall activity and peoples confidence the market gain better in terms of raising that activity and also to one of the other big questions. I know everyone’s mind is whether we have a permanent shift over to the rental market, but maybe was some of these activity levels picking up maybe people or kind of more have to own versus rent if there pipelines little bit better with just wonder what your thoughts would be on that.
Peter J. Blake: Sure on that lets start with the rental one, so typically when the customer or the contractors or the trucking companies are challenged by how much work they haven’t front of them, they tend to rent more than buy and now with the amount of work that’s being let and the amount of bit opportunities for these guys to have more work and to know with coming up. We are definitely seeing more guys or warning to buy and not rent as much as they are. The rental thing is a great comfort zone for them when they don't have it in front of them, but when they know what they have it in front of them; they tend to want to buy more than rent. And on that other question for sure, it's the strengthen of the marketplace and the depth in the work out there is much greater than it was and you go around to the auction sales and talk to all the customers and almost in every case, everywhere you go right now, everybody is talking more positive about the amount of work that's out there and the opportunities for the jobs are greater and now when a bid is coming up there is instead of 15 guys bidding it maybe there's five so you can just tell that its getting spread out there. And so there's a lot of for sure guys that are refreshing as the words we use some of their fleet and updating and upgrading a lot of your guys are paying attention to the Tier-4 situation with the engine, I think that they are working on now as well, but then also there's a lot of guys that are buying more fleet, because they don't have enough stuff now to balance the other work they have coming up in front of them.
Nate J. Brochmann – William Blair & Co.: Okay, that’s great, and thanks for that. And then, Rob just in terms of thinking about the SG&A levels and not looking for exact guidance here, but given some of the initiatives that you've had in terms of keeping the costs down as you mentioned, versus the new hires, should we expect that balance to kind of continue throughout the year in terms of maybe give or take maintaining absolute dollars of SG&A relatively constant or will the new hires coming on at a greater rate kind of push that up a little bit?
Robert S. Armstrong: Yes, as mentioned we had a 5% growth in our salesforce, just during the first quarter. So that will have an impact. We would expect salesforce to grow around 10% give or take a little bit, through the whole year. So that SG&A level will probably be relatively consistent for the balance of the year with kind of – as typical swing kind of quarter-to-quarter that aren't huge, but yet probably relatively consistent through the balance of the year because we will continue to grow the sales force, but we don't have that same growth built in for the operations and admin costs.
Nate J. Brochmann – William Blair & Co.: Okay, thanks for the extra help in modeling. Appreciate it and again best of luck, Pete.
Peter J. Blake: Thanks Jimmy.
Operator: Thank you. Your next question comes from Peter Prattas from Cantor Fitzgerald. Please go ahead.
Peter Prattas – Cantor Fitzgerald : Good morning everyone. I just have one question on pricing. Last call you'll made mention of pricing improvements in the first couple of months of the year. So I am just wondering if things are continued to improve their at few of any sort of estimate on how much the improvement has been in percentage terms?
Robert McLeod: Oh, see since of here the first half the pricing of the quality assets without a doubt continues to be solid to improving. I don’t really have a percentage I can put on it for you to be honest I don’t have that any of the other guys on the line do but it's no question, the quality is the pricing is very solid to improving for sure.
Peter Prattas – Cantor Fitzgerald Canada Corp.: Fair enough. That's it for me, good luck, Pete.
Peter J. Blake: Thanks, Peter.
Operator: Your next question is from Cherilyn Radbourne from TD Securities. Please go ahead.
Cherilyn Radbourne – TD Securities: Thanks very much and good morning. You highlighted the improvement in their percentage of your mix coming from Q2 to Q3 rolled equipment which was 14% this quarter? Can you just remind of what's historically normal?
Peter J. Blake: Historically, well yes. It gets how far back to get to historically normal Steve that's for sure the challenge. If you look at our, I'm envisioning and hope you kind as well that that chart with one line per units its in our investor material and I believe see that charts starts in 2009 and its proportion of kind of two, three, four year old machines is probably somewhere around 20%, but I would suggested that was historically high at the percentage. So somewhere calling self of that number is kind of where the pendulum would be at an even spot but of course it will swing back and forth a little bit.
Cherilyn Radbourne – TD Securities: Okay.
Steven C. Simpson: So we pointed this out when we showed at the AGM was the shift in year-over-year and in 2014 we gave you first four months at 2014 and that shift is percentage and again, reiterated that in our comments today. I think it's fascinating that the delta over the last two or three years is moving in the direction of we expected to and really does relate back to back that OEM production that occurred in the OEM world in 2009 and 2010 so that the trend is favorable I think this moving back in line to where it's normal and where it is right now and where it's going to be going forward I just thinking its continuing to move in that same direction of major assets which as really headwind for us in the last four or five year it just wasn't really recognized until probably a couple three years ago.
Cherilyn Radbourne – TD Securities: Okay, I also wanted to ask about your recent Edmonton auction, you highlighted big, big increase in the GAP on a year-over-year basis. So can you just give us a bit of color on that? was there anything that sort of unique in the mix, does that indicate that there is a lot of strength in Western Canada. What did your analysis indicate post auction?
Steven C. Simpson: I’ll make sure I’ll share that with you, because I was there and working – those guys have been working for three days a lot of them and so it was a lot of fun. [indiscernible] mentioned was, there was not really one big deal, some times when we a big auction like that we have this mammoth key package that allows us to start building an auction and really create an event and there wasn't one there, it was all just general stuff across the board, its was a fleet refreshing, there was a couple of guys retiring, but it was such more normal course of stop but the velocity of the transactions was rapidly improving and I think it was a large percentage was sold into the operating market, that probably somewhere in the neighborhood of over $50 million left Alberta. And Alberta is probably one of the strongest construction markets in the world. Steve shared comments early about the strength in the U.S. and the dollar the way it is so we're seeing a real resurgence in interest and activity but fascinating thing was really across the board, I think more fascinating thing was in June sale coming up in Alberta, we really on the Friday morning of the auction we released a flier for the June sale coming up which has a monster single owner that’s being offered out for auction and some equipment of a big operator that would really raise the eyebrow of lots of folks that’s come into market, there is very nice equipment in June. So that gave them a huge lift for, and lets look at June sale that adds to the fuel of the velocity that’s happening in Alberta so.
Cherilyn Radbourne – TD Securities: Okay that’s helpful color, that’s it from me and best wishes to you Pete.
Peter J. Blake: Thank you. sure.
Operator: Thank you. Your next question comes from Jamie Sullivan, RBC Capital Markets. Please go ahead.
Jamie Sullivan – RBC Capital Markets LLC: Hi, good morning and Pete best of luck and if you have any suggestions on infuriating questions please forward them along.
Peter J. Blake: I think we are too pretty good at those. I was just kidding.
Jamie Sullivan – RBC Capital Markets LLC: Well on that note, on the guidance you mentioned you expect pretax income growth this year, last quarter you were talking in the 5% to 10% range, have you adjusted the expectation there a little bit as well?
Peter J. Blake: Yes, correct in the [indiscernible] gains 5% to 10% range and we are just narrowing a little bit to be in the mid single digit and so probably close to that 5% end of that range.
Jamie Sullivan – RBC Capital Markets LLC: Okay, thanks and then just on EquipmentOne the switch from GMV to GTV, do you have a comparable GTV number for 13, and maybe talk about what drove that change, does GTV go into the GAP number or just some details there?
Peter J. Blake: Sure, David. Thanks I was starting to feel lonely. GTV is the correct number to be using and it's potentially 10% higher than the non-number that doesn't include we’re trying to do apples-for-apples and our view is that the numbers are best compared to GAP is what the term GTV – and so that number we are using last year we use the different number in probably shouldn't have but it was immaterial so that's why there wasn't any big fan fair about it. So going forward you will hear us talk about GTV as the GAP equivalent. That's what you're seeing now and in the press release we gave you the apples-to-apples comparison last year was a little bit difference than the number disclosing last year was the 18.7 would be Q1 last year. So there’s right here in the bottom of the press release. Yeah okay, so there is $1.7 million included in the GTV for this quarter, but in the translation changed little more comparable.
Jamie Sullivan – RBC Capital Markets LLC: Okay, all right, thanks very much. That’s all I had.
Peter J. Blake: Thank you.
Operator: Thank you. Your next question is from Craig Kennison with Robert W. Baird. Please go ahead.
Craig R. Kennison – Robert W. Baird & Co., Inc.: Good morning, thanks for taking my questions as well. I wanted to ask about Territory Manager productivity and maybe if would be interested and if you could give us color and how a typical Territory Manager ramp unfolds after maybe six months 12 month, 36 months. I am curious how productivity should evolve?
Peter J. Blake: Steve do you want to take that or…
Steven C. Simpson: Sorry Pete. So Territory Manger productivity so the typically the guys comes into a training program for the first six months. They have run through pretty well the full spectrum of everything we do in your Auction business from being in the art to the back gates to front office to let’s one on the finance part as well. And so that’s the beginning stages of the training program post that the guys are weather it’s six months or 12 months depending on the individual then the guys are given a territory and they're out in their territory, quite often and their being supported by perhaps some senior TMs within that range region, the regional sales manager would travel with that guys was those folks sometimes the VPs and SVPs are also out on the road spending time with these new folks especially when we got a lot of them out there and that the key is to get us much good solid information on those guys as you can, as we call it dip them in orange. So that process is typically it could be another 12 months. And in some cases the guys are grabbing a hold of it sooner than that and they are performing, and they are out there running and guiding and making stuff happen. So post that first year, year and a half into the second year, the guys should be self-sufficient and are out there managing their territory, with all of the assets we give them to do that and bringing deals to the office and of course always having support from the senior guys to help get those deals done. So I hope that gives you enough color, it's a bit of a snapshot on it but that's the basics of how it works.
Craig R. Kennison – Robert W. Baird & Co., Inc.: That's helpful color, and then a follow-up on EquipmentOne. You've got a very high transaction success rate. I'm curious what you're doing to market that service better given the success you're having.
Peter J. Blake: Thanks, Craig. Yes, that’s one of the key market features when we talk to people is letting them know what the yield is and sell-through rate is, because it's quite unique and it’s quite [indiscernible] and so I think you answered the question in your question, we're Marketing it and telling people that. I think you probably know our focus for this year in terms of selling EquipmentOne service is to focus on the large equipment account through our strategic account team and for that we're armed with marketing materials and sales [indiscernible] for value proposition and that yield is the key part of it.
Craig R. Kennison – Robert W. Baird & Co., Inc.: Okay, that’s great. Peter. Best of luck to you.
Peter J. Blake: Thanks, Craig. I appreciate it.
Operator: Your next question comes from Nicholas Coppola from Thompson Research Group. Please go ahead.
Nicholas Coppola – Thompson Research Group: Hey, good morning.
Peter J. Blake: Good morning.
Nicholas Coppola – Thompson Research Group: Is there any way to estimator quantify how weather impacts you in Q1? Were there any specific auctions that occurred during or around weather really points to what happened there?
Steven C. Simpson: I’ll take that Pete. So a lot of things that happened with the weather not only did it hinder a lot of our customers in most particular in North Central and North East and up in Canada as well just had severe stuff going on all over the place, but a lot of these guys were not able to finish the jobs that they were on and in many cases, particularly in the U.S., with the U.S. folks the jobs got delay and they just stopped and they weren't working at all. So that was a big chunk of it and then as you progressed in through February – January and February, even when there was some of the folks that wanted to sell some gear, because the winter was so severe and there was so much frost on the roads and a lot of places that aren't used to getting it, they put road bands on which means you're only limited to the amount of weight that you can haul on your trailer, so there was a lot of guys even that – they had some stuff they wanted to send to say to Florida as an example. Given they had road bans on in the location they lived up North they weren’t even able to get it on a truck to move it even if they wanted to so there was a whole bunch of that stuff that went on through the latter part of 2013 in the first quarter of 2014 and I don’t have a measurement to tell you how much it was but it was reasonably significantly, the amount of guys they couldn’t participate.
Nicholas Coppola – Thompson Research Group: And then how do you think about how long as you take through because some of that loss volume. I guess, it depends on the reason if they weren’t able to talk in the equipment throughout Q1. How should we think about I mean its kind of may be take a little longer?
Peter J. Blake: But I think you will see some of the guys are playing now and there will be, they had some stuff in the latter part of Q1 for sure there will be guys that are in Q2 that are wanting to, that will be able to finish up and get out. And then the balance of the guys are still want to sell, I mean obviously as time goes by things changes and a guy that decided he was going to sell at a sale in February or March and all of his stuff were assets were part and it wasn't able to work it at the whole of a sudden another job comes up and he says maybe I will sell after also you got some that going on as well. And I think it will be scattered through the next few quarters, what's still available to be sold.
Nicholas Coppola – Thompson Research Group: Okay. And then second question here is on Territory Managers and just wondering it sounds like you are adding Territory Managers typically with in the U.S. is there any kind of geographic or sector exposure that's particularly prevalent there?
Peter J. Blake: No, no really we're open to adding Territory Managers everywhere we have locations in the world where the guys are in a position where our business is at a level that we've brought to such that the territories are perhaps too big and the guys are looking after too much business and no matter where it is whether it's in the Eastern United States or in Canada or Australia or Europe if they think their business is ready to add some more TMs, then we're going to go out and find them and hire them.
Nicholas Coppola – Thompson Research Group: All right. Thanks for taking my questions and Pete pleasure working with you.
Peter J. Blake: Thanks, Nick. Hey Joanna it probably its times for more questions and then we will ramp-up.
Operator: Thank you. Your last question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi. I wanted to see if I could understand a little better the tax rate that can driven in the quarter and the comments about jurisdiction and do you suggest that I don’t know the U.S. may be didn’t start the year is strong does it expected didn’t plan?
Peter J. Blake: Yes. Good question [Gerald] (ph) tax rate was for sure lower this quarter than it has been historically in term the lower than it was quarter one last year and there was – I mean our comments and we talked about some tax estimates that that got changed, that's really more or less a one-time item. You aren't going to see that recurring every quarter and the impact on where we on our income is more pronounced in quarter one,, because it's a relatively small quarter and because the U.S. has such a high tax rate, when we earned income in a – now the jurisdiction that has a relatively low tax rate, it definitely has – it has an impact and it has kind of an outsized impact on a small quarter like quarter one.
Unidentified Analyst: Okay got it, and then I just wanted to question relatively to maybe plan at the beginning of the year, is currency now a greater benefit in the plan going forward?
Steven C. Simpson: It isn’t, it never has been. just because as we commented, it will have an effect on each line item, obviously revenue and expenses, but they more or less net each other out and we would expect that to continue in the foreseeable future, so it isn’t on a net basis it is not a consideration if you will going forward.
Unidentified Analyst: Great, thank you.
Steven C. Simpson: Great, tanks again.
Peter J. Blake: Thanks everyone, we appreciate your time and attention. Again its been a privilege. We will look forward to running into you down the road somewhere so thanks everyone.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and we ask that you please disconnect your lines.